Operator: Good afternoon, ladies and gentlemen, and welcome to the Silk Road Medical's 2019 Second Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would like to turn the conference over to your host, Ms. Lynn Lewis from Investor Relations. Lynn, please go ahead.
Lynn Lewis: Thank you. Thank you all for participating in today's call. Joining me are Erica Rogers, Chief Executive Officer; and Lucas Buchanan, Chief Financial Officer. Earlier today Silk Road Medical -- financial results for the quarter ended June 30, 2019. A copy of the press release is available on the company's website. Before we begin, I'd like to remind you that management will make statements during this call that include forward-looking statements within the meaning of Federal Securities Laws, which are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Any statements contained in this call that relate to expectations or predictions to future events, results or performance are forward-looking statements. All forward-looking statements including, without limitation, those relating for our examination of operating trends and our future financial expectations, which includes expectations for hiring, physician training, growth in our organization and reimbursement, market opportunity and guidance for revenue and gross margin and operating expenses in 2019 are based upon our current estimates and various assumptions. These statements involve material risks and uncertainties that could cause actual results to our events to materially differ from those anticipated or implied by these forward-looking statements. Accordingly, you should not place undue reliance on these statements. For a list and description of the risks and uncertainties associated with our business, please refer to the Risk Factor Section of our 424B4 filing with the Securities and Exchange Commission on April 4, 2019 in connection with our initial public offering. This conference call contains time sensitive information and is accurate only as of the live broadcast today July 29, 2019. Silk Road Medical disclaims any intention or obligation, except as required by law, to update or revise any financial projection or forward-looking statements whether because of new information, future events or otherwise. And with that, I'll turn the call over to Erica.
Erica Rogers: Thanks, Lynn. Good afternoon, everyone and thank you for joining us for Silk Road Medical second quarter earnings call. Joining me is Lucas Buchanan, our Chief Financial Officer. From the beginning Silk Road Medical has been relentlessly focused on patient outcomes. We believe the key to successful outcomes is minimally invasive and technologically advanced intervention. As many of you know, we have pioneered a new approach for the treatment of carotid artery disease called Transcarotid Artery Revascularization or TCAR, which we seek to establish as standard of care. I would like to begin our call today by sharing one TCAR patient's treatment journey. Two things really matter to 72-year old Jackie. Being out on the lake fishing and spending time with his wife. Earlier this year, Jackie visited his eye doctor after experiencing fainting spells and blurry vision. After various tests, the doctors determined that he had a severe blockage in his left carotid artery. In cases like this plaque can often embolize or break away from the arterial wall travel towards the brain, interrupt critical blood supply leading to an ischemic stroke. Following his diagnosis, Jackie visited Dr. Kousta Foteh at Vital Heart & Vein at Texas who recommended a TCAR procedure to treat the blockage. Dr. Kousta Foteh understood the importance of quality of life for Jackie and said and I quote "The look on his face when he talks about the lake says it all. This is why I do what I do". The operation started with the small incision at the base of Jackie's neck to place the ENROUTE Stent. The ENROUTE neuroprotection system then enabled blood flow reversal directing embolic debris away from Jackie's brain. The procedure lasted about just over an hour and Jackie was released from the hospital within 24 hours. His wife said that "Improvement after the surgery was almost immediate and all he wanted to know was when he could get back on the lake." In less than two weeks Jackie was back on the water and able to focus on the two things that matters to him most. Jackie's story demonstrates the power of TCAR, specifically how this approach can safely and effectively treat carotid artery disease and reduce the risk of a potentially devastating stroke and allow patients to quickly return to a life they enjoy. This is the type of patient experience from which we strive all day, everyday. At the core of Silk Road Medical is a commitment to building clinical evidence in support of TCAR. We are confident that robust clinical evidence is the key component to drive adoption, broaden our reach to more patient who can benefit from this procedure, and eventually make TCAR the new standard of care. During the quarter we continue to build upon our superior evidence with our ROADSTER 2 post-market study and updated results from the TCAR Surveillance Project both of which were presented at the Society of Vascular Surgery's Vascular Annual Meeting or VAM. Importantly, the updated data from the TCAR Surveillance Project represents a landmark achievement not only for Silk Road, but the broader treatment of carotid artery disease. Results demonstrated for the first time significantly lower odds of composite in-hospital stroke, death, and myocardial infarction compared to carotid endarterectomy or CEA which is the current standard-of-care. Also in the quarter we made excellent progress in expanding our commercial team, activating new sales territories, opening new hospital accounts, and training new physicians through our flagship test drive courses. These efforts continue to gain momentum laying the foundation for long-term growth through broad awareness and education. Marked by the significant achievements, we delivered total revenue of $14.9 million in the second quarter, up approximately 92% compared to the second quarter of 2018. Our topline performance is driven by growing adoption of TCAR. We are raising our 2019 revenue expectations to $60 million to $62 million, representing growth of 74% to 79% over full year 2018 revenue. I will now provide a bit more detail on progress this quarter across our two strategic areas of focus; clinical evidence and U.S. commercial execution. Starting with data clinical trials, post-market studies, and registries are continuing to generate data on the safety effectiveness and clinical advantages of TCAR. These data support our efforts with patients, payers, and providers and are the tailwind for physician confidence and adoption. As I mentioned, updated results from the ongoing TCAR Surveillance Project as well as final results from our ROADSTER 2 post-marketing study represented at VAM in June. By way of background, the TCAR Surveillance Project was implemented in September 2016 as an initiative of The Society for Vascular Surgery Patient Safety Organization. It is an ongoing open-ended data collection effort that was designed to monitor the safety and effectiveness of TCAR in real-world use and contemporaneously compare TCAR to CEA. In a headline presentation that served to open the plenary session of the meeting, Dr. Mahmoud Malas of the University of California San Diego School of Medicine shared the updated results for the TCAR Surveillance Project which evaluated 5,716 patients receiving TCAR compared to 44,442 patients receiving carotid endarterectomy or CEA between 2015 and 2018. In addition 5,160 patients from each group were matched based on comorbidities and demographics and analyzed using propensity score matching. The results were overwhelmingly positive and showed for the first time significantly lower odds of composite in-hospital stroke, death, and myocardial infarction compared to CEA. Specifically patients receiving a TCAR procedure were 59% less likely to have an in-hospital myocardial infarction or heart attack and 87% less likely to have an in-hospital cranial nerve injury. Cranial nerve injury is a very serious complication is damage to these nerves which control functions like speaking, swallowing, facial sensation, taste, and saliva production can result in transient and permanent quality of life issues and stroke-like symptoms. What has been most impactful in the physician community is TCAR's 34% lower odds of 30-day death. The ability of the TCAR procedure to improve the odds of patient's survival is extraordinary important for a procedure with largely prophylactic content and we believe we'll drive increase momentum in physician awareness and adoption. Additionally, final results from ROADSTER 2 are post-market study were also presented at VAM. ROADSTER 2 evaluated real-world use of ENROUTE neuroprotection and stent systems in TCAR procedures in 632 high-surgical risk patients enrolled across 42 sites. During the late breaking sessions the studies co-principal investigator Dr. Vikram Kashyap of University Hospitals Cleveland Medical Center presented data demonstrating compelling patient outcomes with slow strokes and combined stroke and death rates of 0.6% and 0.8% respectively. Results from the stenting versus endarterectomy for treatment of carotid artery stenosis trial also known as CREST exhibited a 30-day stroke rate of 2.3% for CEA, the standard of care. The stroke rate of 0.6% seen in ROADSTER 2 validates the low stroke rates seen in ROADSTER 1 and clearly demonstrate TCAR competitiveness to CEA. We expect the remarkable consistency and reproducibility will further encourage physicians to adopt the TCAR procedure. It is worth noting that 80% of physicians participating in ROADSTER 2 were new to the TCAR procedure and these physicians enrolled approximately 70% of the patients, thus confirming the short learning curve and ease of use for physician. You will recall the ROADSTER 1 had a significantly smaller group of operators compared to the 87 physician that participated in ROADSTER 2. We believe that the ROADSTER 2 data supports the generalized ability of the TCAR procedure with consistent outcomes across physicians with little or no prior TCAR experience, which has not been seen in multiple studies of other stent-based carotid intervention modality. This is further corroborated by the over 5,000 patients worth of data, I just referenced from the TCAR Surveillance Project, where most of the physicians were just beginning their TCAR learning curve as they reported outcomes. The data from ROADSTER 2 taken together with the updated results from the TCAR Surveillance Project marked a major milestone in our journey. Our team's relentless focus on successful patient’s outcome each and every day has led to our market-leading clinical evidence base and we remain committed to continuing to develop data around TCAR in order to drive the durable adoption of this procedure. Our second key priority, commercial execution is all about driving adoption of the TCAR procedure to generate initial and repeat orders of our products by our hospital customers, while always being mindful of our focus on patient outcomes. Our two key priorities are inextricably linked in that way and reinforced our mantra of every patient every day, good outcomes, drive repeat orders. As a reminder, the structure of the market is such that there is a concentrated base of physicians in hospitals performing carotid revascularization procedures, which allows us to deploy an efficient coverage model. Over the last couple of years, we've been methodically hiring and training a world-class field team as we have carefully rolled out TCAR. We believe it is our people and programs combined with our technology that has led to our physician’s success in driving excellent patient outcomes to TCAR and our commercial progress to-date. In the second quarter, there were approximately 2,000 TCAR procedures performed. These procedures were performed by both new and experienced physicians in new and established hospital accounts and in new and established sales territories. In short, we remain on track toward our commitment to deliver in excess of 8,000 procedures in 2019, as we continue to expand our commercial footprint and train new physicians, while at the same time support our established base of physicians to further influence their adoption curve. With that said, we are well aware that we are challenging the standard of care and changing physician behaviour, which takes time, experience and relentless effort. As we crossed the 10,000 cumulative worldwide procedure milestone earlier in Q2, followed by the excellent clinical outcomes reported at the Vascular Annual Meeting in June, we continue to feel that TCAR has found its place prominently in the carotid treatment continuum. Yet, we are still just at the beginning of our journey to become the standard of care. Building the clinical evidence base and focusing on commercial execution one patient at a time everyday, has served us well to date and we remain well-positioned to maintain and build upon our competitive lead. With that, I will now turn the call over to Lucas Buchanan, our Chief Financial Officer then we'll return with some closing comments.
Lucas Buchanan: Thank you, Erica. Revenue for the three months ended June 30, 2019 was $14.9 million, a 92% increase from $7.8 million in the same period of the prior year. Growth was driven by the growing adoption of TCAR across an expanding base of hospital accounts, trained physicians and active sales territories. Gross margin for the second quarter of 2019 was 75% as compared to 69% in the corresponding prior year period. Gross margin improvement was driven primarily by leveraging manufacturing overhead costs, across higher revenue as well as manufacturing efficiencies and the delayed timing of certain manufacturing engineering projects. We expect gross margins to be flat in the second half of the year as compared to the first half, due primarily to planned investments and manufacturing engineering initiative to support our long-term growth. Total operating expenses for the second quarter of 2019 were $17.2 million, a 70% increase from $10.1 million in the second quarter of 2018. R&D expenses for the second quarter of 2019 were $3.1 million, compared to $2.3 million in the second quarter of 2018. The increase was primarily driven by an increase in personnel-related expenses as we continue to support product development and clinical study programs. Sales, general and administrative expenses for the second quarter of 2019 were $14.1 million, compared to $7.8 million in the second quarter of 2018. The increase was primarily attributable to expenses related to growth in our commercial team and marketing efforts as well as costs of being a public company. Net loss for the period was $12.0 million or a loss of $0.42 per share as compared to a net loss of $7.7 million or a loss of $8.16 per share for the same period of the prior year. Net loss for the second quarter of 2019 and 2018, included a $5.3 million and $1.9 million non-cash charge respectively resulting from the re-measurement of the fair value of our convertible preferred stock or liability at each balance sheet date. We continue to record adjustments to the estimated fair value of the convertible preferred stock warrants, until they were exercised in connection with our IPO in April 2019. We ended the second quarter of 2019 with $118.2 million of cash and cash equivalents. Turning to our outlook for 2019, and as Erica mentioned, we are raising our 2019 revenue guidance from $60 million to $62 million from $59 million to $61 million, representing growth of 74% to 79% over full year 2018 revenue of $34.6 million. As we look towards the second half of the year, we remain on track for our full year guidance to train approximately 500 new physicians, which would bring our accumulative trained physician base to approximately 1,250 by year-end. We are also on track to end 2019 with approximately 35 sales territories. At the core of our commercial strategy is our focus on driving procedure volumes. This is predicated primarily on conversion from CEA to TCAR for each individual physician we train and support. While we continue to expand our sales territories and train physicians in new hospital accounts, we are also finding efficiencies in established territories. To that end, we are successfully driving growth by training new physicians in existing hospital accounts and by augmenting these more established territories by adding additional therapy development specialists to support the growing procedure volume and market development efforts. At this point, I would like to turn the call back to Erica for closing comments.
Erica Rogers: Thank you, Lucas. At Silk Road, we have one overarching theme, which is a relentless focus on successful patient outcomes, every patient everyday. Everything we do at Silk Road is designed to further our goal to protect the brain. I am very pleased by our performance in the second quarter as we made headway on both clinical and commercial fronts, further validating our position as the market leader in the treatment of carotid artery disease. Looking ahead to the remainder of 2019, we remain focused on continuing to build our clinical evidence base and U.S. commercial execution. With a great team assembled, as well as a breadth of expansion opportunities, we are well-positioned for a continued growth. Before closing, I would like to acknowledge and thank our physician partners. They work tirelessly to ensure their patients are treated in the safest and most efficacious way possible. I feel very privileged to work alongside a group of physicians this skilled and passionate about their patients and about reducing the devastating burden of stroke. With that, we will now opening up to questions. Operator?
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Robbie Marcus from JPMorgan. Your line is open.
Robbie Marcus: Great and congrats on a really nice quarter.
Erica Rogers: Thanks, Robbie.
Robbie Marcus: Maybe I could start it off. You touched on some of the commentary coming out of SVS and the trials you presented there and how you're going deeper in accounts and also finding new accounts. I think it'd be great if you could give us a little more color on what you're really seeing on the ground in terms of the interest from doctors following the data presentation throughout the quarter? Has the backlog of doctors who want to get trained on the procedures stepped up since then? Has the data helped encourage even more desire on the physician community to start getting trained here? And then also maybe if you could touch on some of the pushback you're getting if any from doctors? And why they don't want to start getting trained on TCAR?
Erica Rogers: Sure Robbie. Thank you for the question. And let me take those in order. First, as it relates to the data that were presented at VAM. First, I think let's recognize that the Vascular Annual Meeting was in the, sort of, second week of June. And so it's really pretty early to tell what the overall impact of those data will be. As you probably can imagine while the room was fairly full and the attendance at the Vascular Annual Meeting was quite good, certainly not every vascular surgeon in America was in attendance. So it is really now the job of the therapy development specialists as well as the area managers out in the field to disseminate this information and we do that through education of our physician customers kind of one at a time, one-on-one. As well there are many physicians who will want to wait until these data are published in a peer review journal. And that typical cadence is six to 12 months, typically from a meeting like the Vascular Annual Meeting. And so in short Robbie, it's a little too early to tell overall what the impact of these data will be. That said the enthusiasm certainly at VAM and since from the physicians who were in the audience or who were paying attention is quite good. And we think that overall the impact of the date serves as a tailwind in two ways. One, is in driving physician adoption in physicians who are already trained and coming up their adoption curve for TCAR. So in other words if you can imagine that physician sitting in front of their patient and they're talking about the alternative, they now have a very different conversation they can have with that patient when they're talking about TCAR for example versus CEA. So we think it'll be a tailwind on adoption. And also to address your point for physicians that are sitting on the sideline or have been sitting on the sideline, certainly when they become aware of these data, it is a bit eye-opening. So we do believe it will drive additional physician interest. We said this before Robbie there are numerous levers that we can pull on commercially one of which is the training of physicians. And we do have the ability to respond to incremental interest in being trained in TCAR. And we will certainly do that in the back half of the year when required. Now let me take the last half of your question there Robbie which is -- when we do get pushed back what are we getting pushed back on? And I think this is a really good time to remind about some of the things I said in my prepared remarks Robbie, which is that we are well aware that we are really challenging the standard of care here. And carotid endarterectomy is considered the last bastion of the kind of cut-and-sow traditional vascular surgery. And that it's a lot to ask a physician to change their behavior. And so that's really what we're up against and that requires one-on-one conversations and careful and methodical commercial execution.
Robbie Marcus: Great. And maybe just one follow up be there for you Erica or Lucas. I was hoping you could just qualitatively discuss same-store sales versus new sales, whether any color you can give us in terms of percentages or maybe how -- you mentioned in the script about how you are seeing greater adoption within existing accounts? Any sort of color you could give around the growth rates of the existing accounts maybe relative to the new accounts would be helpful? Thanks a lot.
Lucas Buchanan: Yes. Robbie, I'll take that one. So what are the metrics we stare closely at are the procedures portraying physicians for a period of time per month per quarter per year. And we fully burden that metric, meaning that as we're scaling these training courses, it takes a period of time for them to do their first case. So at any given period of time, there's a group of physicians who have done zero cases, because they just got trained and they're working towards their first case. And so that gets to the -- some of the metrics that you think about and we think about. When you dissect that to the kind of the experienced physician, whether you define them by six months from training or one year from training, we do continue to see strong growth in those more and more experienced cohorts. And the really good news is we see very little attrition. Sometimes it takes time to get them to their first case or their fifth case or their 10th case. But we rarely have a physician try TCAR and abandon the procedure. So over all, we're kind of in a continuous phase of growth looking at each individual physician and that's what our sales team really focuses on is how do I move my surgeon who's done 50 cases towards 100. And how do I move the physician who just got trained towards their first case. But we are seeing good growth both at hospital level and a physician level as they get more and more tenured.
Robbie Marcus: Great. Congrats on the good quarter again.
Lucas Buchanan: Thank you so much.
Operator: Your next question comes from the line of Bob Hopkins from Bank of America. Your line is open.
Bob Hopkins: Great. Thank you and good afternoon and congrats on the momentum. Just a follow up on that last point. Just curious, you mentioned your experienced surgeons, can you give us a sense for where you stand right now in terms of how many surgeries per quarter or per period your "experienced" surgeons are now doing?
Lucas Buchanan: Well it's been roughly about 1.9 procedures per trained physician per quarter. We're constantly diluting the denominator with brand-new physicians as we scale training we're getting the benefit of experience. But I think again the way to dissect is with that 1.9 is burdened by some zeros in every given quarter. So that means the folks that are actually doing procedures are doing more than that.
Bob Hopkins: Right. No but the question was, if you look at those experienced surgeons you are talking about roughly how many are they doing per quarter?
Lucas Buchanan: Of TCAR or of carotid procedures overall?
Bob Hopkins: Of TCAR. Yes, I'm just curious if -- I mean, the average I realized is diluted by a lot of zeros. I'm just curious, when you get that surgeon base, it's nicely experienced as you referenced how many TCARs are they doing per period if the average is at 1.9?
Lucas Buchanan: Yes. Some of our top folks are doing between six and seven procedures per quarter. So, if you annualize that you'll get up into those numbers. And again, if you remember, when we characterize the overall market opportunity as a function of procedures, 168,000 procedures in 2018, 80% of those were driven by 2,750 docs which is roughly 50 docs -- 50 procedures per doc per year for kind of the average target physician went out.
Bob Hopkins: Okay. That's helpful. Just curious as to how number is changing overtime. And then, two of the quick things to follow up on, I just wanted to get a sense for your 2019 guidance that you increased by roughly $1 million. I mean, obviously there's a lot going on at your company right now. You're growing very rapidly. You got these great data presentations expanding the sales force. I was wondering can you give us a sense like, if the demand is there; is there an ability to go beyond to $60 million, $61 million this year? It's just a pure capacity question, given how much you got going on as a question. The demand is there. Could you do better, or is the capacity of the company -- when you think about everything going on with the company kind of really limiting you to those numbers?
Erica Rogers: Yes good question, Bob. Hi and nice to talk with you today. And thanks for joining us first of all. I'll take a little bit of that and then Lucas can follow up if we need more detail. But I think, you said it exactly right, which is what we're doing is working. And we are growing rapidly, very rapidly right? And so, we in general feel the best course of action is to stay the course because what we are doing is working. So maintaining that operational excellence and obviously pristine patient outcomes is the overarching goal here because as I have said before this is a long-term goal of getting to the standard of care. And so, there are multiple levers that we can and could pull on for the year and respond to various demand. But for now, it's state of course.
Bob Hopkins: Okay. And then just the last thing I wanted to touch on real quickly and I hesitated to ask this because, I know you guys have so much going on right now and you don't certainly don't need this anytime soon. But I'm always just so curious about the process with standard risk Erica in terms of, are there any kinds of milestones that we should be aware of as we look at the rest of this year? And do you have any incremental clarity and what the process might look like relative to the last time we spoke?
Erica Rogers: Thanks Bob. I really appreciate the way that you asked that question because, you're right. There is recognition that we have a huge unmet and uncapped market in front of us, just in the high surgical risk indicated and covered market opportunity. And we're just getting started there, sitting here today at less than 5% penetrated overall in the treated patient population. So, I'm glad that you recognized. There's a lot of room to run. That said, answering your question the short answer is no. We have no additional clarity to offer on this particular call. We continue to look at the standard risk opportunity for both the labeling and coverage and as soon as we have more details on that front, we will let you know.
Bob Hopkins: Terrific. Thank you.
Operator: Your next question comes from the line of Rick Wise from Stifel. Your line is open.
Rick Wise: Good afternoon. Good afternoon Erica and Lucas. Maybe, I will start off with a larger-topic question. Just when we're looking at this kind of excellent quarter and this kind of excellent performance, Erica, are you still just cannibalizing carotid endarterectomy, or are we seeing any market expansion as well? Are we expanding the market basically at all yet?
Lucas Buchanan: So let me -- Rick, I'll take that one. This is Lucas obviously.
Rick Wise: Okay.
Lucas Buchanan: We continue to see anecdotal evidence of kind of bringing patients off the bench, so to say that otherwise might not get a surgery or transfemoral carotid stent. It is still hard to quantify that. We're getting a base of data and procedures and trained physicians that we can now go back and do more sophisticated market research to answer that question and we will do so. But what we do know is we're taking share from both transfemoral carotid artery stenting and carotid endarterectomy and there we have harder data to point to looking at some data that we buy looking at stent units, whether they come from TCAR, or they come from transfemoral cast and what you see in some of that data is the competitor's unit volumes coming down and as Silk Road's stent unit volumes go up. But the overall numbers of stent units sold of all market participants increasing faster than the historical growth rates, which means TCAR is expanding the stent market namely by converting patients with otherwise would have had carotid endarterectomy.
Rick Wise: That's great. Let me turn. I'm going to ask Lucas, but maybe Erica wants to answer this one. Lucas, maybe you can expand a little bit on your gross margin comments. You highlighted the leveraging manufacturing overhead cost. But you really sort of through lower-70s kind of projection which is how we thought about the rest of the year. I hear you as you talk about delayed timing and you gave us some specifics on second half gross margin equal to the first. But are we sort of now more consistently at a mid-70s range in general going forward is that the way we're thinking about the future?
Lucas Buchanan: The short answer is yes. Obviously, it all starts with pricing, discipline which our team has done a fantastic job defending value that can't persist forevermore but so far so good. And obviously, we have the benefit of pumping more units out of the factory mainly on the neuroprotection side, which we manufacture here at headquarters in Sunnyvale. And there is some – there is some timing differences as I alluded to relative to some longer-term manufacturing engineering initiatives. Just as a example, those are things like optimizing our sterilization options and efficiency investing in automation, investing in shelf life, things like that that are important for the longer term productivity of the organization. And as well, Erica talked a lot about how well the team is doing in the field. But the team here at the home office in terms of manufacturing product and having very high yields and low scraps, they've just done a really fantastic job.
Rick Wise: That's great. And just one last thing for me, if I could ask about another P&L item SG&A, you really had a great job this quarter, the smallest sequential dollar increase that I've seen from you in recent quarters. So highly efficient, I'm guessing. Maybe again Lucas, if you give us little more color there. How you're able to do it? Does this suggest a step-up in spending is coming or needed or required as you penetrate the market and maybe just in some – how much of the address – how much of the market can you address with your current footprint? And how much more expansion is needed? But just again just anymore color on SG&A would be great?
Lucas Buchanan: Sure. Well, I think again a lot of credit goes to our sales team and our sales and marketing leadership, because when we planned at the beginning of the year, we're really on plan as we talked about. And it's all in the pursuit of driving procedure volumes. And as we said, we're building out a commercial coverage model that ultimately will be efficient. During the IPO, we talked about building towards roughly 40 sales territories, and kind of a 2:1 ratio of area managers to therapy development – sorry, therapy development specialists to area managers. And we continue to build towards that at a kind of slower and slower rate just given that it's – it's again, we ended the year with 25 active sales territories, and we've guided towards roughly 35 at the end of this year. So we're getting closer to building out that coverage model, in terms of feet on the street. Same thing on the hospital account base and trained physician base making good progress there. And ultimately, it will be about driving the adoption curve in each individual physician to drive our growth in the long-term. So it's less and less about the new folks getting involved in TCAR over the long-term. And more and more about established seasoned, physicians and sales territories, increasing procedure volume to drive revenue.
Rick Wise: Appreciate that. Thank you.
Operator: You're next question comes from the line of Joanne Wuensch from BMO Capital Markets. Your line is open.
Joanne Wuensch: Good afternoon. Everybody, how are you?
Erica Rogers: We’re well. How are you?
Lucas Buchanan: Hi. Joanne.
Joanne Wuensch: Excellent.
Erica Rogers: Too good.
Joanne Wuensch: I wanted to just talk about two things. One is to takeoff on the previous question on the sales force and the hiring of territory managers. Can you give us a little bit of an update on how that is proceeding?
Erica Rogers: Yeah. So we are on track for the number that we guided toward earlier in the year which is namely roughly 35, by the end of the year. We continue to believe that the business can be addressed with that number. And as Lucas mentioned earlier, we continue to find efficiencies in the territories that already exist, in the hospitals that already exist and the physicians that are already trained and moving all of toward deeper and deeper penetration, namely the conversion of carotid endarterectomy to TCAR. So the short answer is we are on track there, Joanne.
Joanne Wuensch: That's helpful. My second question has to do with seasonality. Since it's your first third quarter, as a publicly traded company and the third quarter tends to be difficult for medtech. Can you just give us an idea of how you plan on thinking about the summer months for the business?
Lucas Buchanan: Yeah. So we are certainly not immune to summer seasonality. It has been obviously baked into her own modeling, and obviously the updated guidance for the year. With TCAR as scheduled procedure it's really subject in the summer to physicians and patients taking vacations. And when you have a bigger and bigger footprint of trained physicians you're kind of more sensitive to that seasonality. And we're right in the thick of it. Right now it's generally most of July into the first two weeks of August. So that has been built into our thinking and into our revised guidance for the year.
Joanne Wuensch: All right, and then my last question has to do not to dismiss the clinical data that already mentioned this year. But is there anything upcoming at VQI?
Erica Rogers: Yeah. So we expect there will be some updated cuts of the TCAR Surveillance Project data at VQI. The program is essentially published online now. And there are several TCAR talks. Some of which are kind of reanalysis or re-look at some of the data that we've already been presented but we believe there will be yet again another slice of the TCAR Surveillance Project.
Joanne Wuensch: Thank you very much.
Erica Rogers: Thank you.
Operator: I'm showing no further questions at this time. I'll now hand over the call over to Erica Rogers, Chief Executive Officer.
Erica Rogers: Yes. Thank you very much to all of you for joining us today. We really appreciate your time and attention. Goodbye.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for your participation. And have a wonderful day. You may all disconnect.